Operator: Good morning, and thank you for participating in the Q2 2014 Earnings Conference Call of Melco Crown Entertainment Limited. [Operator Instructions] Today's conference is being recorded. I would now like to turn the call over to Geoffrey Davis, Chief Financial Officer of Melco Crown Entertainment Limited.
Geoffrey Stuart Davis: Thank you, operator, and thank you, everyone, for joining us today for our second quarter 2014 earnings call. On the call with me today are Lawrence Ho, Ted Chan, and Ross Dunwoody. Before we get started, please note that today's discussion may contain forward-looking statements made under Safe Harbor provision of federal securities laws. Our actual results could differ from our anticipated results. I will now turn the call over to Lawrence.
Yau Lung Ho: Thanks, Geoff, and hello, everybody. In the second quarter of 2014, we've delivered luck-adjusted property EBITDA of approximately USD 345 million, representing an increase of over 11% compared to the second quarter of 2013. This growth and underlying financial performance comes despite the well-documented market-side weakness in the rolling chip segment, which highlights the importance of the mass market segment in driving our company's profitability. We're pleased to have further expanded our market share in the mass table game segment during the second quarter of this year, a trend which we expect to continue in 2014. Given our unique premium-focused assets, our ongoing proactive table and groom optimization process, together with our product enhancements, we continue to focus heavily on expanding our product offering, particularly at City of Dreams, which is critical in a competitive environment such as Macau. We recently opened a new and exciting lifestyle dining and entertainment precinct called Soho at City of Dreams, which offers our customers a unique non-gaming experience not previously available in Macau. We have also recently began a large City of Dreams, which will meaningfully expand the integrated resorts luxury retail offering and improves our ability to cater to the rapidly evolving tastes and preferences of visitors to Macau. We anticipate this luxury precinct to be operational by 2016. The iconic fifth tower at City of Dreams progresses as planned. The new hotel tower will provide nearly 800 ultra luxurious rooms, suites and villas, and will represent another strong catalyst for growth, particularly in the premium end of the market, when it opens in the first half of 2017. Turning to Altira. In addition to the companywide table optimization process, we are also repositioning Altira to focus more exclusively on larger junkets, who are better positioned to complete in this evolving market. We believe that Altira remains one of the most luxurious hotel and VIP gaming properties in Macau, and we anticipate these changes to the property's positioning will ensure it can compete strongly in this segment of the market. We are nearing the next stage of our company's transformation into a leading regional player in the gaming and entertainment industry. With the opening of City of Dreams in Manila in the fourth quarter of this year and the opening of Studio City, our next -- our second large-scale integrated resort in Cotai, in the middle of next year. The opening of City of Dreams, Manila represents our first venture outside of Macau. The integrated resort in the Philippines will feature several world-class brands and attractions, including Crown Towers, Hyatt and Nobu Hotels, together with the DreamWorks collaboration in Family Entertainment Center, as well as numerous other gaming and non-gaming attractions. Not only will it broaden our company's earnings potential, but also represents an important milestone in our regional aspirations. Studio City remains firmly on track to open in mid-2015. We're currently sending out the podiums and hotel in [indiscernible] hotels in next month. Representing the next standalone integrated resort to open in Macau, this exciting cinematically themed property will provide a catalyst for the next phase of Macau's growth, offering visitors an entertainment experience not yet available in the region. We believe that Macau remains the most exciting gaming destination in the world. The city's location is at the doorstep of one of the fastest-growing and largest consumer theater markets in the world. Together with support from forward thinking local and Macau Chinese governments will ensure Macau's long-term success. As announced today, I'm pleased to report that our Board of Directors has approved the implementation [ph] of USD 500 million stock repurchase program. We believe this buyback authorization complements our current capital management strategy, including our ordinary dividend policy and our ability to pay special dividends when appropriate, which will enable us to return surplus capital efficiently and opportunistically, while retaining capacity to fund an exciting development pipeline. So on that note, we'll turn it back to Geoff.
Geoffrey Stuart Davis: Thanks, Lawrence. We reported property EBITDA of approximately $314 million in the second quarter of 2014 compared to approximately $350 million in the second quarter of last year. Our property EBITDA margin second quarter of 2014 was 26.4% compared to 27.3% in the second quarter of 2013 and 28.8% in the first quarter of this year. As Lawrence mentioned, our luck-adjusted property EBITDA was approximately $345 million, representing the year-over-year increase of over 11%. This result reflects the importance of the stable mass market segments in driving profitability and cash flow despite the impact of a weaker rolling chip environment in Macau. During the quarter, we were negatively impacted by a low blended win rate of 2.7%, together with an unfavorable mix between our revenue share and rolling chip programs. Together, this negatively impacted EBITDA by over $30 million in the second quarter of 2014. Our EBITDA and EBITDA margins were also impacted by a more than $10 million sequential increase in wage-related expenses, including the impact of various staff retention programs. To provide guidance on the impact of retention programs on our operating cost going forward, we anticipate an additional quarterly labor expense of approximately USD 10 million, in both the third and fourth quarters of 2014. The EBITDA contribution from our non-VIP segments represents over 80% of luck-adjusted EBITDA at both City of Dreams and on a group-wide basis. As Lawrence mentioned, our board has authorized a $500 million stock purchase program, which complements our existing dividend program. This next phase of our capital management strategy highlights our company's strong operating cash flow and our disciplined approach to managing our capital structure, which allowed us to return surplus capital while also funding our exciting development pipeline. In accordance with our funding plan for Studio City, we drew down on our USD 1.3 billion Studio City term loan in July of this year. This will be reflected in our interest costs and capital structure going forward. As we normally do, we'll give you some guidance on nonoperating line items for the upcoming quarter. Total depreciation and amortization expense is expected to be approximately $95 million to $100 million. Corporate expense is expected to come in at around $30 million. And consolidated net interest expense is expected to be approximately $35 million, which includes finance lease interest of $10 million relating to City of Dreams, Manila, net of approximately $24 million of total capitalized interest. That concludes our prepared remarks. Operator, back to you for the Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Cameron McKnight from Wells Fargo.
Cameron Philip Sean McKnight - Wells Fargo Securities, LLC, Research Division: A question for you, Lawrence or Geoff. It looks like capital at City of Dreams and Altira was much lower than the Street had expected. Was most of that due to the unfavorable mix on premium mass in the revenue share versus commission-based business?
Geoffrey Stuart Davis: Yes, we felt the impact of both low hold and the negative mix. In addition to that, as in our prepared remarks, we had roughly $10 million of a sequential increase in wage costs, and then there was an additional $5 million from miscellaneous utility and some professional fees that weren't capitalized.
Cameron Philip Sean McKnight - Wells Fargo Securities, LLC, Research Division: Okay, great. And then just more generally, it looks according to some reports we've seen, it looks as though the mass markets across the board slowed down at least on a year-over-year basis, pretty meaningfully in July. Do you have any thoughts as to -- do you have any thoughts as to why the mass market might've slowed, and what might be going on in that segment?
Yau Lung Ho: Cameron, Lawrence here. I'm going to let Ted elaborate. But I think, generally, mass has held up very well. I think, in the first half of the year, it still grew at over 30%. But there really is a perfect storm in terms of the number of factors. I mean, looking at visitation in Macau ever since some of the issues in China, which are unexpected in terms of the scale of them, started to take place. And at the same time, you have World Cup and also starting from the second half of the year was a higher base as well. So I think consensus, and I know predictions always felt that the year -- mass is growing in the 20s. So given that, it was always due for a more measured growth. But I guess, that's our view. I will let Ted elaborate a little further.
Tat Chan Ying: Yes, Lawrence. Cameron, I think, first of all, in terms of what we see in the market from July and August, I think more important is really in August. But July, due to the World Cup issue, you see some of the recovery of travelers in the later part of July and, of course, from the time started. In terms of what we've seen in the properties, really, we don't have any issue of filling up our rooms. Actually, our occupancy rate is actually almost like full 98% in average in those months. So in terms of the traffic, we don't see a big issue. Visitation number to -- both our properties is actually looking quite decent. And also compared to last year, we have a quite an amazing number in terms of visitation as well. So I think, it could be too early to say maybe in July, and I think we feel good in August, when August started.
Cameron Philip Sean McKnight - Wells Fargo Securities, LLC, Research Division: Okay. And then just one final follow-up. Are you starting to see more competition on the mass side? Are you starting to see promotions and rebates start to increase? Or are things relatively stable on the mass market promotional front?
Tat Chan Ying: Cameron, competition always happen in Macau over last few years. And premium mass is currently where everybody is actually looking for to grow their markets. From my perspective, I think most of our competition and most of our company is really focused more on the total experience of customer rather than cash, credit, rebate to customer. In actual fact, in our company, we never rebate customer in terms of cash or credit. And it's more about pay-play, play-based scenario. So I would say, current market is quite healthy.
Yau Lung Ho: Then I think in terms of our margin, I think, it hasn't been overly promotional. But at the same time, supplementing to that, we operate in a highly competitive market where we have very intelligent and very smart operators. But at the same time, I think our margin is within the range that it has been, and we'll continue on that basis. We are -- I think ultimately the Chinese economy and some of the negative headwinds, I think, by this time next year, rolls around with new resorts due to open, together with other catalysts, such as improved infrastructure, I think the high-growth days will come back. But in the meantime, we will continue to do our table optimization and like Ted said, use our experimental, incremental marketing initiatives.
Operator: Your next question comes from the line of Billy Ng from Bank of America Merrill Lynch.
Billy Ng: I have 2 questions. One actually is a follow-up on Cameron's questions. Just want to get a little bit more color on how the trend performed in terms of the mass market, like do we see comparing first half of July, and then second half of July and, let's say, first week of August, do we see activities, volume in the mass market pick up or it's still pretty much the same?
Tat Chan Ying: Billy, it's Ted. We think that compared our current -- currency rates compared to early July, definitely is actually a pickup. I'm sure everyone knows that, because the summertime started middle of July. And also August is also very important.
Billy Ng: But do we see further improvement in August, so far?
Tat Chan Ying: Compared -- August compared to July, of course, there is some improvement. And I think the improvement is really, really coming from this 2 times.
Billy Ng: And secondly, I just want to know more about the return of capital program. You guys announced a $500 million potential buyback. And so strategically or mechanically, how do you plan to deploy that $500 million? Is there a target share price whenever, Ted, you will buy or there's a target time line that you will use your $500 million?
Geoffrey Stuart Davis: Billy, it's Geoff. It's not a formulaic plan. It's really at the discretion of management, so we will use it opportunistically.
Billy Ng: But, let's say, I know there is no fixed formula, but roughly speaking, will we see any buyback, let's say, in the next 6 months or within this year? Or it's more like a long-term potential thing?
Geoffrey Stuart Davis: Well, we'll have to evaluate that going forward. There -- again, there is no sort of fixed number of shares or an amount that we would expect to buy in any given period. But we'll just use our discretion and when we think it's appropriate to buy back shares, then weigh that against other alternatives for the cash.
Yau Lung Ho: One thing that's similar to most of the other U.S. gaming companies in terms of how the scheme will be operated.
Operator: Your next question comes from the line of Joe Greff from JPMorgan.
Joseph Greff - JP Morgan Chase & Co, Research Division: I just had a question with regards to the investigation you referenced in the earnings press release, and I know you're probably limited in what you can say, but is this specific to one of your properties? Or is it specific to the market as a whole?
Yau Lung Ho: Well, Joe, it's Lawrence. It's specific to us. I think we understand that our Taiwan branch has been indicted for banking act and foreign exchange-related offenses. Although we have not received the formal documentation at this point, we will defend vigorously any indictment brought against us, as we have been operating in compliance with Taiwan law. And more importantly, we have been operating in line with all of our U.S. and international gaming operators. And we have one of the most reputable and [indiscernible] law firm in Taiwan than reinforces that we are in compliance with the law. So I think that's all we can say at this point because this is pretty fresh as well.
Joseph Greff - JP Morgan Chase & Co, Research Division: And my final question, Geoff, could you break out the hold-adjusted $345 million of EBITDA between City of Dreams and Altira? And if you can give us property level margins for each, that would be helpful.
Geoffrey Stuart Davis: Sure, Joe. You should -- to allocate that $30 million across the 2 properties, you should add about $10 million to Altira and roughly $20 million to City of Dreams. That would bring the margin at Altira to roughly 13% -- 13% to 13.5%, and City of Dreams at about 31%.
Operator: Your next question comes from the line of Karen Tang from Deutsche Bank.
Karen Tang - Deutsche Bank AG, Research Division: It's good to hear that your Studio City project is on schedule for mid-2015. We have heard on a conference call of the other operators that there is kind of a permit backlog at the government level, and the visibility on these permit processing may be a bit limited. Can you comment on that, please?
Yau Lung Ho: Karen, it's Lawrence here. I think luckily for us, we -- and not luckily because we've always acted in the best faith and we follow all the rules from the Macau Government. We've got all of our construction permits. And each step of the way, when we got the foundation permit, that's when we do the foundation work. When we get the upper floor permit, that's when we do it. So we've never really kind of disobeyed or moved away from the rules. And I think, then that's why whether it's from a labor code standpoint or construction progress standpoint, we are firing at full speed. And as we said in the prepared remarks, we have begun setting out both hotels rooms and also in the main gaming and retail areas. So we are -- we're very happy. We're happy with the progress. So in terms of that backlog, it's no secret. There's plenty of development in Macau and the government is very hard -- trying very hard to clear up the backlog, and there's a huge backlog. But for us, thankfully, since we followed every step of the way, we don't need -- we don't have any outstanding permits that we require from a construction standpoint.
Karen Tang - Deutsche Bank AG, Research Division: Good to hear that. I guess, for last. One of the key permit would be the number of table quota, can you remind us at what stage before opening should we be expecting that number?
Yau Lung Ho: Karen, I think, on that front the Macau Government is still thinking about their strategy and also talking to the leadership in China about the quota. But based on what they have guided all these years with the table cap, I think they will allocate the tables accordingly to the diversity -- the diversification and neatness of the property. We still -- we're very confident that we'll get our fair share of those tables. But the Macau Government have not communicated with us or the properties that are opening next year. I anticipate and again, this is a best guess, that we'll probably find out, probably 9 months ahead of time. But at this point in time, we still have the property -- our property. Studio City can accommodate a capacity of 500 tables. Are we going to get 500 tables? We, honestly, don't know. But I think from a fair share standpoint, and I think we will all going to pull above our weight on the fair share, we've always guided that we hope to get 400 tables or more.
Operator: There are no further questions at this time. I would now like to hand the conference back to Mr. Geoffrey Davis. Please continue.
Geoffrey Stuart Davis: Thanks, operator, and we look forward to speaking to you again in 3 months. Thank you.